Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Century Aluminum first quarter 2010 earnings call. At this time all lines are in a listen-only mode. Later there will be an opportunity for your questions and instructions will be given at that time. (Operator instructions) As a reminder, this conference is being recorded. I’ll now turn the conference over to your host, Shelly Lair; please go ahead ma’am.
Shelly Lair: Thank you, Kathy. Good afternoon, everyone and welcome to the conference call. For those of you join us by telephone, this presentation is being webcast on the Century Aluminum website www.centuryaluminum.com. Please note that website participants have the ability to advance their own slides. The following presentation and related comments by Century management contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Information provided in this presentation and discussion is based on the information available as of April 27, 2010. We believe the expectations reflected in these forward-looking statements are reasonable based on information available to us on the date of this presentation. However, given the described uncertainties and risks, we cannot guarantee our future financial performance, results of operations, or financial condition, and you cannot place undue reliance on these forward-looking statements. Century undertakes no duty to update or revise any forward-looking statements, whether as the result of new information, actual events, future events, or otherwise. In addition, throughout this conference call, we will use non-GAAP financial measures. Reconciliation to the most comparable GAAP financial measures can be found in the appendix of today’s presentation and on our website. I’d now like to introduce Logan Kruger, Century’s President and Chief Executive Officer.
Logan Kruger: Thank you very much, Shelly. Good afternoon everyone and thank you for joining us. We welcome the opportunity to report on our progress today. So let’s move onto slide number four. We were pleased with our first quarter performance. We have continued to evolve the company’s financial strength, and have made good progress on some of our important long-term strategic objective. My colleagues and I will give you some details during the next few minutes. We continued to see decent improvement in many fundamental measures of market activities. In the U.S. and in Europe, the pace of manufacturing recovery has been increasing. Certain industries, notably automotive are experiencing their first meaningful increase and activities levels in the last several years. The supply chains remain genuinely lien, with distributors and other intermediary continued to exhibit a wait and see mentality. Despite recent restrictive efforts by monetary authorities in both China and India, those economies continued to perform very well. Turning to trend, which gives us our pause, certain industries remains depressed, commercial construction being a good example of those and we remain under the watchful eye of the warehouse and other stocks and further on the actual amount of metal available to the market. There are myriad of factors as you know, as well as the desperate of the aluminum ETS and the changing shape of the forward price curve, which can influence these critical measures. Operations continued to perform very well, first our safety results are already above those of the industry continued to show consistent improvement. This result is a testament to Wayne and his team at each of our applause. Hawesville had a good quarter and continues to scrutinize every aspect of its cost structure was a review to what the step up in realized power process the smelter will see in 2011. Grundartangi is also operating well and continues to produce a premium to its rated capacity. We had a busy quarter in labor relation, we have received a tentative new five year contract with Nordural unions in Iceland, and we are working hard in a constructive dialogue with the steel workers in Hawesville to finalize a new mutually acceptable contract that provides a base for this smelter’s long-term competitiveness. We are focusing on two major issues at Mt. Holly. Applied is still showing only a slow return to normalcy from our operational issues it faced in last year, and we cover on has been significant amount of time talking on month to ourselves then were power supply about the long term future of that power arrangement at Mt. Holly, the plant is still showing only a show return to normal of operational issues it faced last year and we Ottawa has been significant amount of time talked amongst ourselves and then with the power supply about the long-term future of that far arrangement at Mt. Holly. Again our goal here is to obviously find a structure, which provides for the long-term economic competitiveness of the business. We are finding a complex business environment in Iceland, but are working very hard to restart nature project activities. We continued to be encouraged by the fact that important constituency the local and national government, the party in general remains very supportive of this project. Way we thought is, it will be the largest economic development in Iceland and that’s an important contribution to the written to strength of the Icelandic economy of our number of years. I’ll comment a bit more in detailed in a few minutes Let’s move on to slide number five, the LME cash front averaged $2,167 per ton for the first quarter of 2010, and process has claimed to around $2,300 recently. We should take the pause, obviously today what’s the markets been influenced by what’s going on in Europe particularly Greece and Portugal, the process come off $100 ton reminding us how volatile these markets can be. The aluminum markets remains unbalance and prices continued to climb with the recent spot prices for aluminum quoted in the range of $370 to $350 per ton, up from $300 per ton in the fourth quarter. Global aluminum metal demand continues to improve, mostly driven by China and some modest growth in the U.S. As an aside, China’s GDP accelerated to the fastest pace in almost three years in the first quarter with 11.9% year-on-year growth and industrial production was up 18.1% in March year-over-year. India, economy has increased from 6% year-over-year in the fourth quarter for GDP. Industrial production was 15.1% year-over-year in the month of February. This industrial production growth rate is significantly higher than even in pre-recession levels. A cautionary note, global cost pressures most notably power carbon and aluminum have also been supportive of the higher prices for metal we’ve seen recently. Let’s move onto slide number six. LME Stocks remain relatively flat over the last couple of quarters. This is a meaningful improvement from the significant additions to warehouses that we saw in the first three quarter of 2009, but we have yet to see any sizable and sustained declines. Aluminum costs and financing deals for us provided some support of the process at regional progress as lifted premium. In the U.S., the Midwest premium had climbed to $6.35 range an increase of some 50% from a year ago. In addition, in the European duty paid premiums is currently around about $150 to $170 per ton, and the premium in Japan is in the low $120. While support of near-term, these financing transactions has another elements of uncertainly to our market as the economics of these transactions can be influenced by a variety of factors, including the slope of the forward curve, interest rates, rents, insurance, and other factors. To this point, there has recently been some discussion of transactions being unwound or not rolled forward in Europe, in order to take advantage of the increased local premium. We believe that the significant warehouse inventory levels will be on other hang on the market for sometime to come. Please move to slide number seven, with inventories 63 days of global demand, we aren’t roughly the doubled our normalized levels of 30 to 40 days of global demand. As noted in the chart in slide number seven, we see even a greater disconnecting quarter one from the normal relationship between days, inventory, and price. As a result, we continue to be cautious in our views on pricing and we’ll continue to focus on running the business prudently in uncertain environment and time. Now I’d like to pass you on to Wayne for our operations.
Wayne Hale : Thanks very much, Logan. Let’s turn on to slide number eight, within the Grundartangi continues to pose excellent performance results in all areas. So I want to take their eye off to key performance requirements during the protected labor negotiations. Safety in operating performance remained strong. The contract has been agreed by the union leaders and is in the process of being reviewed by the workforce. The repair process of the transformer we have previously reported to you is proceeding as scheduled, it has been removed from service and it should be back in place as expected in August. As a reminder, we expect the impact on production will only be a couple thousand tons. I want to comment on the volcanic eruption in Iceland and our operations. As you saw we issued a press release last week, confirming there had been no impact on our business. Frankly, the only reason we did so was the increasing number in qualities we were experiencing. The volcano is about 100 miles east of Grundartangi and has had no impact on our operations or electrical supply, all our critical supply travel to Iceland by ship to a port located adjacent to our operation and of course our finish metal needs the same way. Looking at Hawesville, regarding the labor contract as you’ve seen in our press releases, we had extended current contract with the United Steelworkers, as we work with them on any contract. Discussions to-date has been constructive and the plant continues to operate normally. We are confident of achieving a mutually acceptable agreement, which recognizes the challenging environment based by all U.S and others. As we have previously discussed, our supply agreement with our major customer Hawesville expires in March 2011. We’ve had extensive discussions with them about their future relationship and believe this process will soon come to end. We’re hopeful that a mutually acceptable solution can be reach for continuing this long-term relationship. If we cannot reach such an agreement, Hawesville simply sell metal to the regional market. There should be no problems selling all of the plants production of both high purity and standard grade metal. At Mt. Holly, Logan and I will give you a pretty much good overview of the issues, the plant continues to improve, albeit slowly from its core operating performance in 2009. The management team is focused on all the right issues. Importantly, we are in the midst of extensive and substantive discussions with our partner and the power supplier for Mt. Holly. We have told them that the current pricing in structure put the plants long-term viability of risk and that we need to work with them on a structure that will allow us to plan to operate the plant with confidence to different types of market environments. There’s a complex issue and we will require significant efforts by all parties. Let’s turn onto slide number nine. At Ravenswood, we have seen some encouraging recent developments. The state legislature recently passed and the Governor signed into to our law legislation, which permits the State Public Service Commission to approve placing arrangements and structures for specific classes of customers such as large electrically intense industrial companies. For those of you familiar with our industry, this is similar to what we’ve done in last year in Ohio. Of course, this is only an enabler for us, to negotiate specific competitive agreement that selectively meets our needs, requirements of the power provider and the PSC acting on behalf of all the rate payers of the state. Voluminous work in order to restart the plant, we will need to renegotiate delivery contract, which was extended to August of this year, to provide for a long-term competitiveness of the plant. On the market conditions again, Logan pretty much sounded it up. Premiums in the U.S., Europe, and Asia remained strong despite some are recently changing conditions, which we are watching closely. Some sectors like automotive that have long been ailing are showing some signs of increased activity, thus renewed investment, impacts of this increasing production rate is exacerbated by the low supply chain inventories. Now, I’ll hand it over to Mike, to review the financials.
Mike Bless: Thanks, Wayne. If we could, please turn to slide 10 and as usual I will refer to my comments to the financial information that follows the verbiage in the earnings release. So if you have that handy it will be make my comments easier to follow along with. So as usual my comments will compare the quarter that just ended - sequentially to quarter before that’s the Q1 over Q. Before we get to the top of the income statement, let’s just look at the market Logan and Wayne both so referred to the changes in the market, but cash LME sequentially, quarter-to-quarter was up 8% and with a one month lag up 14%. On that basis, our realized unit prices in the U.S. were up 13% and our total revenues in Iceland again on the per unit basis were up 14%, so right on top of the market. Looking at volumes, you can see these data at the end of the financial information after press release on a reported basis both domestic and total volumes, were down a little bit on a per day basis they were exactly flat. There were two less production and shipment days in Q1 versus Q4. Again as we noted in the press release, we’re happy to say that Grundartangi continues to produce at the rate of 276,000 tons on an annualized basis. Great performance given the ready capacity of 260,000 tones and the fact as Wayne reminded you, that we do at transformer out for repair right now. Supporting the pricing and volume data together, net sales on our U.S. dollar reported basis as you can see on the slide up 11% Q1 of the Q4. Walking down to the income statement, I’ll point out a of couple factors here, gross profits first, up $20 million quarter-to-quarter on a sales increase of $29 million, a good conversion there. There only two items that I’d like to point out to you this quarter both related the market directly our alumina costs in the U.S. obviously up $13 million quarter-to-quarter, obviously those are indexed to the market, and costs at Grundartangi in Iceland, of course index is well to the medal up $2 million quarter-to-quarter. Again like to emphasize, you’ve see it in the press release and that included in cost of sale this quarter, and obviously a deed at the gross profit is $15 million cost to sales charge for power cuts in hospital for which bring out responsible for which the prior power supply to Hawesville is responsible for the balance of 2010, we spoke about that length. Moving onto the income statement, other operating expense, those are obviously curtailment expenses relating to Ravenswood, $5 million for the quarter. The cash amount this quarter was $7 million. SG&A $12 million, cash flow was around $10 million for the quarter. Income tax provision, as you know, we provide no taxes in the U.S. given our large deferred tax assets, so the whole amount there you see as a provision at a statutory rate of 18% for our taxable income in Iceland. Bottom of the income statement data just point out the average shares, common shares 93.1 million, and remember there are 8.3 million averages this quarter preferred shares. As you recall the preferred shares are essentially common stock equivalent. So adding those two to together the entire share base is about 101.4 million shares average for the quarter. On that basis, if you turn to slide 16, near the back of the deck, just talk there again some of the per share data. As you can see hearing back to the reported income statement data, net income spread over those 93 million common shares, $0.06 per share, and when you spread all of the net income over the entire share-based on 101.4 million, obviously you get fair amount. As that net income is allocated pro rata, it’s both the common share and it is on the one hand and the preferred share is in the other hand. Then you’ll see also on the page, turn to slide 16 now, that payment that EON is making on our behalf as part of the power build for Hawesville this year on an after tax basis spread over all those 101 million shares that was $0.15 for the quarter. Turning back quickly to the financial statement data just, it’s a tough comment on the balance sheet. As you’ll see cash for the quarter, including $9 million of restricted cash and the $223 million from year end. Just to remind you, most of the restricted cash other than a couple of million dollars of it, is cash that we have on deposit for power contract, that same new power contract at Hawkesville, in favor of the power supplier Big Rivers Energy Corporation. Most of that cash will comeback to us i.e. that whole amount that we on deposit with Big Rivers. Later this year, when we post a letter of credit for the remaining security deposit that we have take a step back, we talked about this on the last call. In fourth quarter of this year, we required to deposit a further $22 million. So we intend to do is rather than deposit that cash consistent with our rights under the contract with Big Rivers. We’ll post an LC, that’s by our revolving credit agreement and in fact we most likely take that to $7 million of cash that we’ve already deposited and have the LC cover that amount as well. Just to review the status of the revolver for you, we talked about this last time. As we expected, we have mandate the lead arranger. They’re hard at work and they’re completing due diligence and finishing the structuring of the facility and as we told last time, we continued to be very confident that we have a new facility in place, sometime in this spring at least a couple of months before the current facility expires in September of this year. Couple of the comments, just one really on the balance sheet down in the deadline, we exchanged some more of the new 8% notes for the old 7.5% notes this quarter. We bought that $4.3 million principal amount of the old 7.5% notes. So, the principal amount balances at the end of this quarter are now $2.6 million for the old 7.5% and $249.6 million for new 8% notes. Couple comments on the cash flow statement if you had a chance to take a quick look Cash from operations for the quarter was $22 million. As you see one large item above that $21 million source of cash for due to affiliates, essentially accounts receivable and a little bit of that amount have to do as you would suspect, with simply the growth of the metal price over the quarter, better large chunk of it was simply timing the regular payments scheduled just a couple days after the balance sheet date obviously that cash came in, so that was largely a timing issue. One other cash flow item I just like to point out that wasn’t a first quarter issue, but you will see it in the second quarter. We like many other companies put in for increased tax refunds due to the expansion of the U.S. carry back period from three years to five years from the legislation that was signed by the President obviously, enacted by Congress and signed by the President earlier this year. So we applied, we put in for additional refunds of $16 million and received that full amount in April. So you’ll see that come into our cash flow statement, when we report our second quarter earnings. Since some other items in cash flow, maintenance CapEx of a $1 million for the quarter and Helguvik spending, as we expected just a little bit over $1.5 million on a monthly basis, as you can see there $4.7 million for the quarter. Just turned slide 11 please, this is the liquidity changes to chart basically cash quarter-end to quarter-end that we have been showing you nothing must be pointed out on this quarter other than that one item that I noted in the working capital that $21 million increase in the due to affiliates, again just a timing issue there; and with that I’d like to turn it back to Logan.
Logan Kruger: Thanks Mike. If we turn to slide number 12, we can wrap up the presentations and move on to your questions-and-answer. I thought you enjoyed seeing some of our relatively recent photos from the construction side at Helguvik. It is a good product expense I’ve seen, the result of the limited site work, which were continued with service and excellent jumping of point, when we restart major activity. In addition, we are significantly further ahead in terms of engineering effort than a product typically at this point in time. This gives us continued confidence in the project execution and in the capital budget. Thus far the team has delivered at or favorable to the budget on all areas. We are spending considerable time and effort on finalizing the remaining issues required to restart the project in earnest. Given the ongoing situation in Iceland, the business environment is somewhat complex, but we enjoyed strong support from the important construction fees and thus we are confident that we can make progress towards a major construction we start later this year. This includes having a financing package in place. We’ll obviously update you as we go forward. With that, we’d be happy to take your questions. Thanks Kathy.
Operator: (Operator Instructions) Our first question comes from Kuni Chen with Banc of America/Merrill Lynch.
Kuni Chen - Banc of America/Merrill Lynch: I guess just first question, just on the potential formation of an aluminum ETF, can you sort of talk about your thoughts on that and what type of impact that should have on the industry and what kind of impact that may have on inventory levels?
Logan Kruger: It’s Logan, I’ll have to go and ask Mike to pass in some comments as well. First of all obviously, it does take some commodity or metal of the market as you will know. The numbers they talked about anything about the million tons maybe more and if fact some talk about the second ETF, we’ll see how that progresses. That should be supportive of the price, because that take that metal out of the circulation. So I think overall, first impressions are that is it should be supportive and then it should continue to support the market. The greater support of our market is obviously growth and demand above supply. So keep noting that and Kuni, we’ve been remain somewhat cautious on that process, albeit different from what has happened in the market today, because I think today is market direction, it’s a bit different from some of the fundamentals. Mike, do you have any comments now?
Mike Bless: I mean, short-term obviously are else being equal and there’s a block of demand as long as that ETF trades of course in the physical metal has to back it up and that will be a bigger anyway. You’re taking about reasonably large vehicle there, of course at a million tons, at a couple thousand dollar of tons, you’re talking about a couple billion vehicle, but given the size of this marketplace perhaps in the number of investors who seem to interested in investing in this marketplace, and perhaps it’s not that large, but as Logan said, long-term -- any positive technical or funds flow or whatever you want to call it impact to that will be hugely over shaded by the comprehensive supply and demand over the next three to five years.
Kuni Chen - Banc of America/Merrill Lynch: I guess this is a follow-up. I don't know if you mentioned it in your opening remarks, but as far as the potential restart of Ravenswood, can you just update us on what the timing looks like for that situation?
Logan Kruger: I think, Kuni I don’t think you missed any remarks, but I’ll ask Wayne to comment on it, and we don’t see an imminent restart at Ravenswood, but let me put together some of our thoughts. The legislative process in West Virginia has allowed the Public Service Commission now to negotiate or establish and what we believe may be a competitive power front in mechanism, but that’s early days. The law has just been promulgated, and then the next step obviously is a competitive arrangement with people our people manning the plots and then it go down labor negotiations that contract comes up at the end of August, and then our views, Kuni, with what the market will be medium to longer term. We think this is positive, but I wouldn’t try and get ahead of ourselves looking at the.
Wayne Hale: Just an addition, in so far as the law that was surpassed by legislature and signed by the Governor and doesn’t come into effect until mid-June. So we can’t have the advantage of that until that time. However, that doesn’t prevent us from stopping and starting discussions with the power supplier and perhaps the public service commission, but that’s a time line element that we have to be considered about.
Kuni Chen - Banc of America/Merrill Lynch: Potentially, any agreement on a new power contract there would be sometime after mid-year? Is that the right way to think about it?
Logan Kruger: Absolutely, Kuni, I think you got to think anything will develop towards the end of this year, I think we’re just giving your heads above there’s been a change and obviously, we’ll look at this opportunistically and work on it.
Operator: We will go to Brett Levy with Jefferies & Co.
Brett Levy - Jefferies & Co.: More of a sort of political update question. Can you guys give an update on kind of the efforts to I know that Iceland tried to do a bond. I don’t know how successful that was. Just some sense as to sort of the stability of the Iceland government in the likelihood of any kind of default on the Iceland debt, and then also sort of in the various scenarios, kind of whether or not there is going to be any impact on the profitability of the Century operations in any likely scenario?
Mike Bless: It’s Mike. We don't have any inside information. I’ll just tell you what we know based on what the government has announced and obviously we talked with the government Ministers all the time. So as you just seen the IMF has approved. The International Monetary Fund has approved the second stage the rescue package and that amount says the Iceland government is enough to ensure that they have no liquidity or refinancing these at least to 2011. So I think again based on that and the people to whom we talk, people seem to believe that in the short-term anyway. There are no sort of funding issues. Answer to your second question, it's hard to kind of predict as we've talked about, when the market was perhaps worst, last two falls ago and then through the early part of 2009. Our business wasn’t impacted at all in terms of operations and in terms our ability to get product in and continue to satisfy our obligations to our customers and such. As you remember, we didn’t move our banking operations out of Iceland, given that we were worried at the time in October of 2008, long time ago about the conditions of banks, that turned out to be good move as the banks all of course became insolvent and we continue to do our banking operations outside of Iceland and maintaining all cash accounts in Europe and in the U.S. So I guess the only thing that stretching your mind, you could think of that, I guess Logon and Wayne, if they can think of anything else is the currency continues to be weak, it’s trading in a band, it’s sort of artificial, I guess I’d call it market given that it doesn't really float today and won’t for some period of time. It's a currency were to move one way as the other, that would affect our local cost, which are roughly to say 20% are so of Grundartangi cost of sales. Otherwise I can’t really dredge up any other answers to your question. I don’t know Wayne and Logan that you guys.
Wayne Hale: I think Mark, you spot on.
Logan Kruger: We continued to operate through very difficult times early 2009 Brett. So we don’t try on giving predictions on the political situation, but (Inaudible) very positive. The discussions around answer continues, we notice a number of knowledge (inaudible) anyone else publicly, I think you know, it’s good decision the country stable and its progress we made in cut slow just from the economy.
Brett Levy - Jefferies & Co.:  Just to stay sort of on the political side. If there is a changeover in the government, as it relates to ISK or any other aspect of it. What do you see as the probability or possibility that the green party or some other group that would be opposed to Helguvik could have any influence on this project, as best as you can tell, from your political take on the situation?
Logan Kruger: I think grew, Brett I’m trying keep out of political forecasting, because I don’t know you guys are going to work very easily, but you would note that green party is already correlation partner anyway. I think the project itself is significantly important then it’s included in the IMF projections for the recovery Atlantic economy in the next two to three years. So, I think all people that have got knowledge of what this means to the country and through the impact particularly on job and then employment all very supportive for this project. I would like to be guess what the future may bring, but certainly the value of those project two Iceland and that broader economy and their recoveries picking critical and it’s part of the Atlantic plan that’s the IMF is part of.
Operator: We’ll go next to David Gagliano with Credit Suisse.
David Gagliano - Credit Suisse: First of all, thanks for taking the questions. This question is actually for Logan. I couldn't help notice that you were pretty cautious and even negative regarding the outlook for the aluminum pricing in your prepared remarks. So I was wondering, first of all you could remind us what are your hedging policy is at the moment and if you are considering making any changes to that policy in light of this cautious outlook and the financing needs for Helguvik?
Logan Kruger: Unless negative I’m just cautious. We’ve got a challenging 18 months very successfully. I think we clearly look at those markets to see some positive trends, which is not just kind of letters and premium things like that. We also know that the metal is for large inventory, but a lot of that tied up in financing deals, but we also wanted to know to front. We’re cautious, we’re not negative. I think when we look towards ourselves, we obviously look at our domestic productions and I think as Mike and ourselves have reported in other previous calls and we’ve taken from downside of this protection for local or domestic operation. We know that Grundartangi can make cash in the cycle and we’re in a very difficult cycle, Grundartangi did that. So we wish to protect the downfall, because that was the element that’s going to get us and I don’t know, if Mike wants to add anymore.
Mike Bless: Just on the hedging, just to refresh it on what Logan said. Remember the hedging we’ve done and I wouldn’t even recall it hedging, but it’s really just as Logan said by insurance, it’s very tactical, it’s directed at -- as Logan said, our domestic operations in specifically Hawesville and specifically they step up in power prices we’re going to see next year. We think we paid some nominal insurance premiums to protect the downside of prices i.e., buying put options for (Inaudible). As we told you we bought some for 2011 and we’re opportunistically watching the marketplace to invest here to buy a little bit more insurance, but we’re not in the mode perhaps in the proofing to putting category, David not to take issue with what you’ve said, but we’re not in the mode right now of entering into any kind of arrangements that would limit upside and so in that respect I think perhaps where we are, as Logan said, a bit more balanced.
David Gagliano - Credit Suisse : Just to make sure that that wasn't in the works, obviously?
Logan Kruger: No. It was downside protection and the last piece I would add just from the market to sort of put some balanced to my cautious through remark as you pointed out. Is that in our China or India continued to go, I hate greatly and great guns and that is going to hopefully in some ways to drag the rest of the world, but we’re at the point to timely starting to see some positive front, but we’re not going to start celebrating and I think we’ve learned a lot in the last 18 months to look at these things and treat them with respect.
David Gagliano - Credit Suisse : Just a follow-up on the Ravenswood question earlier, what medium to long-term aluminum price do you think you’d need to see in order to restart Ravenswood or assuming that a power agreement is reached?
Logan Kruger: I think, David you can go and look at the CRU numbers and you know Ravenswood falls in the fourth quarter of cost produces. So we want to get Ravenswood, it was a competitive fed of conditions power, labor et cetera and operations. Done in to the royal part of the fourth quarter with the majority of the cost produces in the fourth quarter, all in worldwide; Chinese, we want to get itself, but -- and if you go and look at your CRU chart you will see that something more than $2,000 of ton.
David Gagliano - Credit Suisse :
Okay:
Operator: We have a question from Tony Rizzuto with Dahlman Rose.
Tony Rizzuto - Dahlman Rose: Actually it was a question about hedging and I think you guys addressed it pretty well. Actually, in reading the press release, I also felt the same way that it looked like you guys were looking maybe to lay around a little bit more protection there, but I think you answered that pretty well.
Operator: Thank you. Then we’ll go to Tim Hayes with Davenport & Co.
Tim Hayes - Davenport & Co.: A question on the Helguvik and the power plant, can you remind us the status of that? That’s not it’s still got to be built in what about financing for that?
Logan Kruger: So, I’m going to take I got this internal so the question just said the context in most Michael going to filling. That is two major suppliers to the Helguvik projects - OR and HS, and approximately about even in the split maybe bit more from. Helguvik, some very well advanced both in the project and their plan and their plan actually, and that’s particular three, four, five, six, one, and two and I should the development of the project, because of via thermal energy takes five to six years as you would note. On HS side, obviously the initial development of London and the challenge remains as part of their financing to take on phases two, three, and four, I’m less concerned about phase four, because that’s the long time and at that point in time, you’re generating cash from a number of different sources. So, I think that’s where we are and our concern remains on the financing sides particularly with the HS, but we obviously working with that and with and with them on that situation, and we also know there is some as power available from the other major producer the largest one and then obviously we hope to have some access from that as supplemental and bridging.
Mike Bless: One further comment on the HS and this will ring for those of you especially who came on our tour a couple of years ago. The majority of the power that HS will supply to the first phase as Logan said, they were underway because your comment was well taken, then the answer is about both the existing plants and new, but the majority of the power that HS will supply will come from a simple an expansion of that existing power plant in (Inaudible) but many of you who were on the tour, all of you who were on the tour. So there will be adding more capacity in that existing plant and so that makes the size of the task both in respect to financing and execution exactly a bit less than it would be, as it were Greenfield. So they look both be putting on Greenfield capacity as we add further phases.
Operator: Next we have Mark Bonamo with Morgan Stanley. 
Mark Bonamo with Morgan Stanley: There has been a fair amount of discussion or increasing discussion recently about changing the pricing dynamics in the aluminum market. Can you comment on your thoughts on that and how it may or may not affect Century? Thanks.
Logan Kruger: Thanks Mark good question, early days it’s been a lot of discussion about that a lot of it actually arising out of what’s happened in the iron ore business. First of all, I think the proportion of stock to long-term business iron ore is a lot higher than it digs us in the aluminum business. The aluminum business has been as a franchisee for long time and this is not necessarily a new idea. At this point in time, it’s difficult for at to comment, because it was not a surprise that discussion is happening were the spot market is about the long-term price market, so you have to look at what the other side of going will look like and over a period of time, how that may or may not affect your business?
Logan Kruger: Too early to comment, really Mark, that I just wanted to sketch two things one: it’s a different look, and you go to look at both parts of this equation over a period of time.
Mark Bonamo with Morgan Stanley: So you are in favor of keeping the same traditional benchmark system, I would assume?
Logan Kruger: It seems that worked as a long period of time, obviously these protecting us that believe that as to change, but on the other part – is number of others that will and be settled with fee arrangements at sales.
Mark Bonamo with Morgan Stanley: Thanks and just quickly on Helguvik. As you get closer to major construction, is there anything as far as changes in the capital budget that seem to be creeping up? Or is it pretty much going to cost the same as last time we were discussing it?
Logan Kruger: Yeah, Mark thanks for the accretion. We have actually feel that team that have done an excellent job both from the level engineering and the execution and we are really so good about that capital estimate. Particularly, about size one, we noted well, we’ve been through at extensively we know where it’s coming from and then detail its looking robust at this point in time. I don’t it’s my point to cover (Inaudible)…
Mike Bless: No, no change at all, and let me said it on the Helguvik CapEX and says, every quarter they goes by expected fact that the spending and activity right now is reasonably modest. Every quarter that goes by where we continue to be on budget, continue to re-estimate on the future spending, I’m continued to do further engineering get point my comment about the level of engineering that we’ve done thus far we become as Logan said more confident in that number?
Wayne Hale: Just quickly to conclude on this, we’ve been in this space for quite sometime on this phase one. So we know the suppliers intimately being a less independently and if so far with the contract, the engineering has been largely completed in the general terms and the detail is now were just 30% to 40%. So it’s moving along as we would excite, but we’ve been in the space for long time and we know well.
Logan Kruger: Mark, there’s no technical risk on the actual plant itself as you know.
Operator: We do have a follow-up from Tony Rizzuto.
Tony Rizzuto - Dahlman Rose & Co.: Just a follow-up on, I’ve got two follow-ups actually. In your aluminum, a large third party seller has indicated they are driving more multiple price resets. Are you guys seeing that or are you subject to that, or are things being going on as they had previously, in terms of the pricing that you pay for aluminum?
Logan Kruger: Tony, we’re not seeing that Mike or Wayne can comment that probably a little bit closer to this and so we’re not seeing that and as you know we have some existing contract in place anyway. So we are largely comment for a foreseeable couple of year. So we’re interesting to see how that develops. As I’ve said earlier to the previous question, Tony, it’s not surprised that this has been discussed in the market, where the structure of ahead long term. It will be interesting to see when that reverse is in some point in time, which I told you that was in recycles
Tony Rizzuto - Dahlman Rose &: Thanks, Logan. The other question I have is with regard to Hawesville for next year. I think you guys have told us in the past that your power costs might go up next year by the order of magnitude about $70 million. Should I think about $70 million power costs over the four out of the five lines operating, or how should we think about that, and where would that place the Hawesville smelter on the cost curve? You gave us the positioning of Ravenswood, but where do you think Hawesville would be on a kind of a next-year basis?
Co: Thanks, Logan. The other question I have is with regard to Hawesville for next year. I think you guys have told us in the past that your power costs might go up next year by the order of magnitude about $70 million. Should I think about $70 million power costs over the four out of the five lines operating, or how should we think about that, and where would that place the Hawesville smelter on the cost curve? You gave us the positioning of Ravenswood, but where do you think Hawesville would be on a kind of a next-year basis?
Logan Kruger: Yes, obviously I think you should look it on the full capacity of the $70 million. We still got one line done and I’m not giving you any predictions where that it, but I would start thinking that on net basis, but we’ll update you as we go forward. So you’d have more than enough time to look at that’s going forward. I think in terms of where it’s position is, that I don’t think it has changed very much, because the whole world is seen escalating while cost and no one immune to that. I’m knowledgeable of anyone that’s gain reduction in power process other than some predictions where there has been linkage to the commodity price, which has thus effecting to the flat rate out of costs. I’m looking at my colleagues, and I think we will be more that where we were which is the upper end of all the third quarter of and, which also going forward. Wayne and his team were working on obviously ways to (inaudible) that and they also an opportunities, but we’ll have to bring to the table before we stop talking about it. Wayne, any comments?
Mike Bless: The only thing I’ll comment, Tony back to the first half of your question, obviously when you look at the increment today, you’re $70 million and you saw the number this was quarter was 15 and last if I recall 17. That is the amount by which without the EON supporting in place how you wanted to expire end of this year. Our power cost would be higher. For the current operational, which of course five lines now, because of that a same place with this current operation, which is four line, as thinking a sense ahead, because of that same approach that if we initiated five line our power cost will go up, because we feed power for that fifth line and that would be in 2011 at that higher or unsupported by price and so it’s a bit of apples-to-oranges as I realize, just wanted to make sure that as people are maybe building models and such we are looking at scenario as we do, you got account obviously for lower to power of that incremental fifth line, where we can energize it in and run it for the entire year.
Operator: We also have a follow-up from Tim Hayes.
Tim Hayes - Davenport & Co.: If we were to assume that Ravenswood started in full in 2011, you would have to get aluminum contract then to support both Hawesville and Ravenswood?
Logan Kruger: I think, we just bringing up speed with what changes in our business. We are not trying to make any prediction of rental if Ravenswood ramp up again. So, surely we’d have to have fundamental of power and labor contract, and few other things and obviously you’re with basic materials were coming through that as well, but we’re not in despite yet and I think we should watch this space rather than let us be sort of forecasting the future to early.
Mike Bless: Tim, if you wanted to do some scenario analysis just obviously looking the cater was just five to couple weeks ago and you can see detail on aluminum contracts and we know we got in terms of supply and then you right on top of that current production that mean, times is 1.95 and any increase in production either from line five at Hawesville on the one end, that’s about 50,000 tons of metal or Ravenswood, which of course had a full capacity about 170,000 tons and then you could see pro forma so that how long or short we would be in any of those scenarios.
Operator: Then we have no further questions. Please go ahead with any closing remarks.
Logan Kruger: Thanks to everyone for taking the time to be on our call today, with look forward to speaking to you again in the near future. Thank you. Thanks Kathy.